Operator: Thank you for standing by. This is the conference operator. Welcome to the AirBoss of America Fourth Quarter Conference Call. As a reminder all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to hand the conference over to Gren Schoch, Chief Executive Officer. Please go ahead.
Gren Schoch: Good morning, everyone, and thank you for joining us for the AirBoss fourth quarter and year end 2022 results conference call. I am Gren Schoch and I’m the Chairman and CEO of AirBoss. With me here today are Chris Bitsakakis, President and COO; Frank Ientile, our CFO; and Chris Figel, our EVP and General Counsel. And on the conference line, we have Patrick Callahan, CEO of AirBoss Defense Group. Our agenda today, we’ll start with a review of the operational highlights for the quarter and year, followed by a discussion of our financial results before we open the conference lines to questions. Before we begin, I will remind listeners that our remarks today contain forward-looking statements, including our estimates of future developments. We invite listeners to review risk factors related to our business and the most recent annual information form and annual MD&A, both of which are available on SEDAR and our corporate website. Also, we will discuss certain non-GAAP measures, including EBITDA. Reconciliations of these measures are available in the earnings release. And finally, please note that our reporting currency is U.S. dollars. References today will be in U.S. dollars unless we indicate otherwise. With that, I’ll now turn the call over to Chris for the operational review.
Chris Bitsakakis: Thank you, Gren, and good morning everyone. On the heels of a record year financial performance in corporate growth in 2021, our focus in 2022 was one of execution and integration from our newly expanded operating platform. Many of the challenges we faced throughout the business in 2021, including raw material sourcing and cost inflation, continued into 2022, and these conditions made the work we do to pursue production and cost efficiencies throughout each of our businesses that much more important to our success. Our consolidated decline in sales in 2022 was mainly due to the reduced revenues within our AirBoss Defense Group due to the decrease in large scale deliveries of PPE in 2022. These declines were partially offset by record results within AirBoss Rubber Solutions and by return to gross margin contributions from AirBoss Engineered Products in the fourth quarter. We were up against a fairly challenging set of financial comparables from 2021, and although our financial results in 2022 did not match this record performance, we’re very pleased we’ve made meaningful advancements across many parts of our business. Within the latter part of 2022, our AirBoss Defense Group announced that it successfully secured a series of new contracts that demonstrate the diverse array of technologies it provides to its customers. The most recent is an agreement we announced in late December, which ADG will be supporting delivery of made in America COVID testing kits to the Defense Logistics Agency in the U.S. These kits will become a strategic part of the U.S. Military’s ability to effectively respond to any future national emergencies. Our newly strengthened U.S.-based manufacturing capabilities supported our success during this competitive bid process. The first half of contract deliveries are expected to be completed by the end of Q2 this year and we’ll be monitoring the status of the remaining half of the deliveries against this agreement after that. Earlier in Q4, we also announced 40 million of contracts to manufacture and supply a total of 13 Husky 2G vehicles to two separate customers. These counter-improvised explosive device, or C-IED vehicles, are equipped with industry recognized route clearance and threat detection systems, which are a key part of ADG suite of survivability solutions. We expect to fulfill the majority of this contract within 2023. We view these contract wins as tangible evidence that we have the technology, the production capabilities, and the execution strength we need to maintain a role as a key supplier to large scale customers, including the U.S. Military as well as others. These awards also demonstrate the importance of partnerships in strengthening our technology offerings and market access. Looking at our M&A activities, our operations teams were focused on the seamless integration of our two most recent acquisitions, BlackBox Biometrics, or B3, and Ace Elastomer. These acquisitions were completed in mid 2021. And while they were added to separate business segments, they shared common benefits through their addition of valuable new capabilities and skills to our platform of technology solution. Ace has added significant value to our AirBoss Rubber Solutions business segment, advancing us into a lead role in the color and specialty rubber compounding space. Our rubber compounding capabilities are now stronger. We’ve expanded our geographic reach into key markets in the U.S. and the new skills and talent we added to our team have been a significant benefit to us. As we’ve integrated B3, we’ve seen similar benefits. The B3 team has brought valuable engineering and technical bench strength along with access to portfolio products focused on noise and impact detection and monitoring, which are now an important part of the survivability solutions we offer within our AirBoss Defense Group or ADG. For ADG remain optimistic of what our positioning to win new sales opportunities. In 2022, we worked with potential customers on field testing of new products like our AirBoss 100 Half Mask Respirator, which is a more cost effective and portable alternative to other products available on the market. Customer testing also took place for our Blast Gauge System, which was developed to monitor impulse noise and concussive impacts in both military in – most in military. In fact, our first major competition for Blast Gauge concluded with the final prototype submissions in late Q4. These technologies along with others within ADG, diversify the survivability solutions we can provide and significantly expand the market opportunity for this business. Within our AirBoss Rubber Solutions business or ARS following a very challenging year 2021, the investments we made to improve automation and efficiency and expand the array of compounds and colors we can supply to our customers led to record financial contributions from ARS in 2022. ARS delivered record revenue and gross margins supported by our expanded production capacity, new compounding expertise and access to new regional markets. One of the net results of the tough market conditions in 2021 and last year was that the ARS team had to double down on plans to diversify supply lines, broaden its production base, and capture new market share. I’m really pleased to say that the team within ARS successfully adapted and involved as their business and the markets changed and were well-positioned to carry these capabilities into the coming year. Our longer-term priorities for ARS remain intact to deliver growth by positioning ARS as a leading specialty supplier in North America, one with a valuable portfolio of specialty compounds combined with strong production capabilities. And although, we saw a pullback in volume – in tolling volumes late in Q4, we continue to execute on multiple non-tolling opportunities to strive to offset any volume fluctuations from our current customer base. Turning now to AirBoss Engineered Products or AEP having faced multiple challenges in 2021 and 2022, we’re hopeful that we have taken the right steps to improve the financial performance of this division. AEP experienced acute problems from rapidly escalating raw material prices, supply chain disruptions, and specific issues to the global shortages of computer chips needed by the auto OEMs. Similar to our ARS business, our team within AEP had to strengthen its operations through automation. The team within AEP accelerated efforts to reduce operating expenses, developed more innovative higher margin products, and diversified its customer reach into new non-automotive industries. The changes made within AEP have improved the positioning and resilience of this business. As we exited 2022, we were clear in our commitment to working with AEPs key partners and customers to resume a more stable financial footing for its continued operation. We’ve built strong long-term relationships and we remained confident that we could work together to find a way to address the rapid rising cost related to personnel, logistics and raw materials, and have contract pricing and terms that better accommodated these changes. Although, it’s been a challenging process, I’m excited to say that we have successfully updated our arrangements with our key partners to strengthen the financial condition of AEP. As a result, we were able to reverse the pattern of operating losses we posted through 2022 and deliver profitable performance in Q4. Although, we still have multiple opportunities for continuous improvement, we’re optimistic about AEPs performance as we move forward into 2023. Through 2022, we were encouraged to see some of the supply chain and logistics challenges start to dissipate, and this has helped us get back to the point where we could serve customer needs in a more normalized way. With this being said, throughout each of our business segments, in the closing part of 2022 and the start of 2023, we’ve begun to see some signs of slowing business activity as the industrial base has undertaken some limited inventory reduction as projections of a potential economic slowdown this year vary from expert to expert. As in many industries, some purchases along our supply chain are being affected by the need to work down inventory levels and business purchasing and investment is being impacted by rising interest rates in uncertainty and economic conditions. In the case of ARS, our productivity is run at high levels in 2022, so a downturn in demand could potentially affect its results. For AEP, I’d point out that our ability to profitably operate was being significantly hindered by misalignment between rising production costs and the selling prices we could secure from customers. As I mentioned earlier, we have, again, resumed stable footing for AEP and we continue to see opportunity to increase the contributions it can make to our financial results in the coming year. Our focus in 2022 was on integration and execution of our business strategy from our expanded platform. On the M&A front, we continue to monitor potential acquisitions with a focus on adding products or compounds, advancing our technical capabilities, and expanding our geographic reach. As it relates to our outlook, for the reasons I’ve outlined, we are in a solid position across each of our businesses from a product, production and execution perspective. Our aim is to continue leveraging our core expertise to expand our market share, support our business investments with strong financial discipline, and maintaining our focus on cost effective strategic M&A. With that, I will now pass the call over to Frank for the financial review.
Frank Ientile: Thanks, Chris, and good morning, everyone. As a reminder, all dollar amounts presented are in U.S. dollars except for dividends per share, which are in Canadian dollars. Percentage changes compare Q4 2022 to Q4 of 2021, unless otherwise noted. Starting from the top line compared to Q4 2021, external net sales decreased 53% to just over $117 million on a consolidated basis with a strong increase in AirBoss Rubber Solutions and AirBoss Engineered Products more than offset by decreased sales from the AirBoss Defense Group during the quarter. Consolidated gross profit decreased to $24.8 million, which is at 21.1% slightly ahead of Q4 2021 gross margin contribution of 20.7% despite reduced sales levels in Q4 of this year. Q4 adjusted EBITDA decreased to $13.9 million, impacted primarily by lower sales and slightly higher general and administrative costs as a percentage of sales. Adjusted profit was $12.3 million or $0.45 per diluted share compared to $15.5 million or $0.55 per diluted share in Q4 of 2021. Turning now to our individual segments, ADG’s net sales decreased 89% to $19.8 million with the decrease primarily due to the deliveries of HHS nitrile patient examination gloves in the prior year. Gross profit at ADG decreased to $2.9 million with the decrease primarily driven by the large orders delivered to HHS in 2021 as previously mentioned. Net sales at AirBoss Rubber Solutions increased 9.8% to $57.8 million, driven primarily by favorable pricing and product mix across end markets. Both tolling and to a lesser extent, non-tolling volumes declined in Q4. Gross profit at ARS increased by 18% to $6.9 million due to product mix and higher proportion of non-tolling volumes compared to Q4 of 2021, partially offset by lower sales volume. Net sales in the Engineered Products segment increased by 65% to $46.7 million due to increased volume across several automotive product lines and improved arrangements with key suppliers and customers recognized in the quarter. Gross profit at AEP increased by $17.2 million to $14.9 million, the increase was due to price, product mix and volume in the automotive sector. The impacts of our efforts to contain operating costs, manage overheads, and improve the arrangements with key suppliers and customers recognized in Q4. Free cash flow for the quarter was an inflow of $4.7 million with profitability, supporting an investment in working capital and capital assets. CapEx was $3.2 million in Q4 and $10.2 million in 2022. We continue to focus on maintaining sufficient liquidity to fund the growth of our business. Our revolving credit facility availability is $250 million with an accordion of $75 million, approximately $131 million was drawn at the end of Q4. As of the end of the quarter, we had net debt of $110 million for a net leverage ratio of 2.43 times adjusted EBITDA. With that, I will now turn the call over to Chris Bitsakakis. Chris?
Chris Bitsakakis: Thank you, Frank. Operator, at this point, we can open up the line for Q&A.
Operator: Certainly. We’ll now begin the question-and-answer session. [Operator Instructions] Our first question is from Tim James with TD Securities. Please go ahead.
Tim James: Thank you. Good morning, everyone. Thanks for your time. My first question just the nitrile gloves, the ones that you’ve taken the right down on. I’m just wondering if you could comment on sort of the outlook or any opportunities you have for selling the access gloves at this point or if there’s still I assume there’s still a possible sale item for you.
Gren Schoch: Yes, Tim. We have multiple opportunities that we’re looking at to sell the remaining inventory of those nitrile gloves. We’ve been kind of selective as we’re seeing the glove markets start to rebound a little bit. But certainly, we have the team fully focused on finding a way to sell those gloves.
Tim James: Okay. Turning to Rubber Solutions segment and the volume weakness that you’ve commented on here in the fourth quarter. Do you get the sense that is customers that were over ordering kind of earlier in the year? Or is this really more just due to economic conditions that sort of started creeping in later in the year, and therefore, it’s just kind of the normal process of what occurs when your industrial customers start feeling lower demand?
Gren Schoch: Yes, that’s a really good question. In – it’s kind of normal to see a slow down and demand the last two weeks of December, because as people go into year end, they don’t want to carry too much inventory and a lot of our customers will be doing inventories and closing their annual books and that sort of thing. So it’s not that unusual to see that kind of a – to see a slowdown in December. This one was a little bit larger than normal, as we saw some of the tolling volumes particularly get pulled back into the tire companies, which would indicate that they had some open capacity. So from that perspective, you could interpret that anyway you want. We saw some of that softness continue into January, however, February we saw it start to rebound in March better than February. So the team at ARS feels pretty comfortable with some of the additional market share opportunities that we’ve been working on that we should be able to offset this drop in volume. However, a lot of it is predicated on whether we do see a recession this year or not, which as I mentioned in my comments, it’s kind of – they kind of vary from expert to expert. One day, you hear people say, there will be a recession and one day you hear they won’t. But normally, you can see the tire companies are a good leading indicator. However, at this moment in time, we’re seeing at least on our end some rebound in that drop from December, January, and I guess, the rest is going to be up to the overall health of the economy.
Tim James: So as you look at the full year 2023, and I don’t know if you can kind of give us a sense for this. But will volume year-over-year for the full year clearly be negative, clearly be positive, or could it be either as you look at the – at 2023 based on the trends that you’ve seen to this point?
Gren Schoch: Well, my team at ARS is still optimistic that they can still hit their plan for this year, despite the softness at the end of December and in Q1 or January, February. So from that perspective, they seem like pretty confident they can still make it work and we never plan to go backwards in growth. We haven’t done that in years. We’ve had double-digit compounded annual growth for many years at ARS. And so we have a really strong team there. They continue to go after non-tolling opportunities that will allow us to gain market share and we’re feeling pretty good about that. But again, this is what we know today. If we see a major slowdown in the economy, then that will be something that we can’t forecast right now. But right now, at this moment, my team at ARS is pretty optimistic that the year will still be intact in terms of their production plan.
Tim James: Okay, that’s really helpful. What about – is it possible to give us a sense for what – approximately what portion of your current volume is coming from customers that also do the mixing in-house? And I’m trying to get a sense for, is there much more volume that might be at risk of customers pulling that in-house or do those that typically do it. Have they already kind of exercised that initiative in the fourth quarter and maybe it sounds like it in January? Or is there more risk of that, I guess, is what I’m trying to get at?
Gren Schoch: Yes. Although, it’s not a perfectly defined line. I can tell you that the majority of people that do it in house are normally captured under our tolling volume. And so we don’t expect on the non-tolling side, the majority of our customers, the vast majority of our customers do not have their own internal mixing.
Tim James: Okay. And so the remaining tolling volume that you are doing now, could some of that be at risk of being pulled in house? I guess, maybe that’s the way I could ask the question.
Gren Schoch: Well, in fact, we actually saw a bit of a rebound in that tolling volume in February. So it’s kind of hard to say. So it looks like a big portion of the drop was really this sort of inventory reduction phase and kind of wait and see approach to the economy. And for whatever reason, we haven’t seen that get any worse. In fact, we’ve seen some of it begin to rebound. So not really sure where it goes from there, but at this point, it doesn’t look like it’s continuing to drop.
Tim James: Okay. Okay. That’s helpful. And then my next question is switching over to Engineered Products. If I use as a starting point, and I’m assuming this is over simplification, but let me try it. If I take your fourth quarter gross margin or EBITDA better yet from Engineered Products and I kind of simply annualize that by multiplying it by four. When we’re thinking about that segment for 2023? What adjustments should I be making to that? What should I be considering as opposed to just simply multiplying that number by four, whether it’s on the revenue side, on the cost side, whether it’s an upward bias or lower bias? What considerations should I be looking at for next year?
Frank Ientile: Yes. Hey, Tim, it’s Frank. It’s a good question. It’s a tricky one, because obviously the culmination of our negotiations with customers and suppliers, obviously came through in Q4, but it was collective of many months of effort, et cetera. I think on the go forward basis, we’d be looking at revenues more in line with what we saw in sort of 2019 and gross profit really in the low double digits is really where we see things going from a normalized perspective.
Tim James: And, sorry, Frank. You cut out there. What did you see in terms of the margin? You said revenues kind of more in line with what we saw in 2019, but what was your reference to the margin then?
Frank Ientile: Yes, low double digit is sort of where we’re looking at going forward. Basically, we view now flexible as a profitable operation moving forward that will be generating positive cash flow.
Tim James: Okay. And forgive me, it may sound like a funny question, but given the variability in the margin that we’ve seen from this business, when you say low double-digit margin, what type of margin are you?
Frank Ientile: Gross margin.
Tim James: Gross margin, gross margin.
Frank Ientile: Gross margin.
Tim James: Okay. Okay. And if we – okay, so I guess then it leads to the question, is there any impacts in the fourth quarter that you can cite that were unusual like a catch up adjustment on revenue or costs or anything that we can kind of pull out of that fourth quarter to understand maybe what it would have been without this, I’m going to call it a one-time sort of catch up that maybe occurred.
Chris Bitsakakis: I can’t really comment on that, Tim.
Tim James: Okay. Okay. That’s fair. I think that was it. That was all the questions I had. I’ll get back in the queue. Thank you very much.
Operator: The next question is from David Ocampo with Cormark Securities. Please go ahead.
David Ocampo: Thank you. Good morning everyone. Just sticking on the theme of engineered products just curious, Frank, do you guys have all your customers now signed up under new pricing contracts or is there still more room to go in 2023?
Frank Ientile: So, David, as you know, this has been a long time coming and we negotiated with the 11 top customers that were creating the biggest problem for us. And we successfully concluded those 11 negotiations. Subsequent to that conclusion though, we have also gone to the rest of our customers in a similar pattern. So I think at this point in time, we are concluded with everybody in as we speak.
David Ocampo: And kind of looking forward, are those contracts based on fixed pricing? Or if we see inflationary pressures come back into the fold, those contracts can fall under water again? Or are there pricing adjustments now both…
Frank Ientile: Yes, no, we’ve protected ourselves on the majority of those contracts. And I guess we had the advantage of negotiating at a very high sort of rate. So but, yes, we’ve made sure that we’ve protected ourselves on the downside.
David Ocampo: Okay, perfect. And then just moving off to defense here and take a look at the revenue line. It’s kind of in that $20 million to $25 million range for the last three quarters now. Is that a good starting point and we should think about any incremental contracts that you win, whether it’s COVID testing kits, or any Husky awards that you guys announced as incremental to that $20 million to $25 million? Or is – or are those awards that you guys have announced included in that kind of $20 million to $25 million run rate?
Frank Ientile: No, David, I would say that the $20 million to $25 million is more the baseline and then there – these contracts as they start to deliver would be accretive to that. Obviously, there is a few moving parts in there from the portfolio, but definitely we’d consider Q4 sort of softness versus where we expect to move forward.
David Ocampo: Perfect. And can you guys comment on any potential large contract awards that we should be keeping an eye on?
Chris Bitsakakis: Nothing really has changed, David, in that regard. We still have any that we are working on and we’re still waiting for government to make their awards. There haven’t been any awards that haven’t gone to – that have gone to other people. It’s just they have not been delivering their awards in the timeframe that they had indicated originally.
David Ocampo: Okay. Got it. Thanks. Thanks a lot guys. I’ll hop back in the queue.
Operator: The next question is from Kevin Chiang with CIBC. Please go ahead.
Kevin Chiang: Good morning everybody. Thanks for taking my question. Maybe I could summarize it sounds like a number of puts and takes, maybe this recession could impact rubber volumes, AEPs obviously should be better in 2023. When you put it all together, it feels like earnings will be higher in 2023 versus 2022. I mean, is that the right way to at least look at it even in the face of some knock real headwinds here whether there is recessions or continued supply chain issues? Is that at least something you see on the horizon?
Frank Ientile: Yes, Kevin, it’s Frank. It’s a good question. I’d say there was a lot of moving parts in 2022, so it’d be a little bit difficult, but I would suggest that we’re looking at things continuing to build on the 2022 outcome subject to obviously a few other things that were mentioned previously in terms of future business, et cetera. But we’re definitely looking to progress off of the year end 2022.
Kevin Chiang: Okay. And then just not to deliver this point just with some of the benefits you saw in Q4 within engineered products. So some of the – I guess catch up on some of the costs you were incurring in previous periods, does any of that flowing into Q1 or was that all captured in the fourth quarter here?
Frank Ientile: There will be a little bit flowing into Q1, but primarily it was captured in Q4.
Kevin Chiang: Okay. And then just last one for me, I guess, the U.S. is going to or the White House at least, will issue their defense budget, or I guess plans are for them to issue their budget overall and they’re asking for another big bump in defense spending. I’m just wondering, is there anything you’re looking out for in the White House Task like do you think you’ll get more clarity on things like demand for overpressure sensors, maybe more clarity on some of the PPE stuff? Is there anything you’re looking out for as Congress does to I guess hatch out the fiscal 2024 budget here?
Chris Bitsakakis: Well, the defense budget is out as you know. And so, the White House doesn’t – once the budget is out, the DoD or the DLA that make the acquisition. So there has been a lot of inbound inquiries, particularly about some of our military products like the Husky, Vandalier – the more – there’s another RFP out or RFQ out for gloves. So, as you know, over the last – over the COVID period, the defense spending relative to our products was down significantly. So we’re seeing interest pick up a lot in our traditional defense products. The big uncertainty is how quickly is the stockpile of PPE for HHS going to be appealed and they haven’t been filling at the rate that they have wanted to. We’re told there’s funding for several of our products. So we got the test kit award and we’re optimistic there will be more test kits. There is several other potentially large healthcare products that we are hoping to get this year.
Kevin Chiang: Do you think – when I think back a couple of years ago, to your point, I mean, the defense budget has changed, at least the priorities have changed, especially with the ongoing conflict in the Ukraine. But do you think that pushes out some of the longer-term opportunities you saw? Like if I think back a couple of years, we’re – at that time, we were looking out a couple of years thinking on top of the pipeline, you had indicated at that time, there’s an opportunity potentially for the Gas Mask contract and then maybe the beginning of a ramp up in Blast Gauge orders. Do you think the timeline for that stuff is still within your original expectations? Or do you think the fact that some of the bids that you thought you would’ve won already or the industry would’ve won already have been pushed out a year or two, that that also pushes out some of these longer-term opportunities a year or two? Or is there a situation where they all kind of come together at the same time potentially for you?
Gren Schoch: Well, I think the demand for some things like the Husky has actually been or the timeline for that has actually been shortened. The Bandolier is a product, which we just started selling a year ago or so, and there’s been a tremendous amount of interest in that product. And we are expecting that we will generate additional sales on that product and that that’s a very high margin product for us. The Blast Gauge we delivered our final prototype on time, on schedule in November, and it’s currently in theoretically final evaluations. So if there aren’t any more tweaks that that they’ve asked for – that they ask for in that, hopefully that will start later this year.
Kevin Chiang: Okay.
Gren Schoch: The Gas Mask, they have asked for proposals for several new bells and whistles on the Gas Mask, which we and at least one other company are in the process of developing for them. So they sort of have a wish list of new things that they want on that market. And we’re sort of excited to be able to develop [indiscernible] when I would think that process will take at least a year, maybe a year and a half, but we’re getting paid in the interim is the Board.
Chris Bitsakakis: Yes. And just to add to that, Kevin, because the way your question was phrased, the U.S. Gas Mask contract, we starts out with an RFI where they look at different technologies and they kind of decide, which direction they want to go to build the RFP, the request for – the RFQ I should say, or proposed RFP. The RFI came out about a year earlier than we thought it would come out, so we’re not really sure if that means that the RFP or the RFQ will come out earlier than we thought. But I think that was a good sign that the U.S. military is looking at this equipment as a key potential upgrade for their forces and we’re right on the forefront of being able to compete on that.
Kevin Chiang: That’s right. That’s actually a great reminder. Thank you very much. That’s all for me. Best of luck in 2023.
Gren Schoch: Yes.
Operator: [Operator Instructions] Our next question is from Ben Jekic with PI Financial. Please go ahead.
Ben Jekic: Hi, good morning. I have a question – most of the good questions have been asked and I guess I just wanted to ask a question regarding acquisitions. I’m assuming that 2022 had a lot of moving parts and probably took a lot of your attention to deal with those. Can you just summarize Gren or Chris? I think you were talking about acquisitions earlier in the opening remarks. If you can just sort of summarize, what segments are you trying to add to or thinking about adding to what would that accomplish? Is there more sort of on the technology side or footprint side? Just what is your current mindset basically?
Chris Bitsakakis: I think in general, Ben, we’ve been always public with the idea of what our M&A strategy looks like. On the AirBoss Rubber Solutions side, we are continually looking for ways to expand our geographic reach, expand our technology into the specialty compounding side as well. And we continue to do that and we are quite active in assessing opportunities. We were active in assessing opportunities in 2022, and we continue to be active. It doesn’t mean we execute on all of them, but we are quite active. AirBoss Engineered Products, as you know, we’ve looked at a plan to take that product line and be able to generate as much revenue on the non-automotive side as we regenerate on the automotive side. So we are looking for opportunities there where if we were able to bring on some non-automotive products that fit well within our process and our key competencies that we would do that there. And on the AirBoss Defense Group side, as a survivability platform, we are continually looking at other survivability products or companies that provide these kinds of products that we can bring in under the fold. So those are kind of the three areas that we look at. And of course, 2022, we were more digesting the two acquisitions we made the year before and integrating them. And we’re quite pleased with the integration of those two business units. And Ace Elastomer has hit the ground running and has surpassed our expectations. And B3 is still on the cusp of being able to provide these – the Blast Gauge Systems on a more larger scale to multiple militaries that we’re speaking to. So those are sort of the three categories that, that we look at. And we were active last year but it turned out that we were not able to execute on any last year, but we continue to stay active.
Ben Jekic: Okay. Perfect. That’s all from me. Thank you.
Operator: This concludes the question-and-answer session. I’d like to turn the conference back over to Chris Bitsakakis for closing remarks.
Chris Bitsakakis: Thank you, operator, and thanks again everyone for attending today’s call. Please feel free to reach out to us directly or through our Investor Relations team if you have any questions on our results or anything in general. Thank you and have a great day.
Operator: This concludes today’s conference. You may disconnect your lines. Thank you for participating and have a pleasant day.